Operator: Hello and welcome to the Alfen 2023 Full Year Results. Please note this call is being recorded and for the duration of the call, your lines will be on listen-only mode. However you will have the opportunity to ask questions at the end of the presentation. [Operator Instructions]. I will now hand you over to Marco Roeleveld, Chief Executive Officer. Please go ahead, sir.
Marco Roeleveld: Thank you, [Adeep]. Good morning and welcome to this Alfen full year 2023 webcast. Let me firstly introduce the participants on our side. This webcast and the questions that may come forward will be handled by the management Board of Alfen, being Jeroen van Rossen, CFO; Michelle Lesh, CCO; and myself Marco Roeleveld, CEO.  2023 was the breakthrough year for the Battery Storage Systems, almost quadrupling the revenue compared to the last year and compensating the drop in revenue of charging stations caused by the destocking into the market.  Assuming you have noted the usual disclaimer, we can now start with the presentation. Where firstly I will start with the highlights of 2023, then Michelle Lesh will continue with setting the stage for future growth, and in the last session Jeroen van Rossen will go with more details on the financials and I myself will close the presentation with the outlook for 2024.  We can now go to Slide 4 with the highlights. Our revenue in 2023 has risen to €504.5 million. This represent a growth of 15% compared to 2022 where the revenue was €439.9 million. The adjusted EBITDA in 2023 came out on 11.3% of revenue. This is a drop compared to the 18% in 2022. Our projected revenue outlook for 2024 is €590 million to €660 million. And this revenue growth is driven by the continued energy transition throughout Europe. And we reconfirm our strategy and medium term objectives as communicated in the Capital Markets Day in May ’23.  We can go now to Slide 5 with the 2022 revenue splits. As already mentioned in the highlights, the overall revenue has grown in 2023 with about 15%. For Energy Storage, the revenue in 2023 ended up at €163 million and that represents a revenue growth of 258% growth compared to the 2022 number where the revenue was €45.5 million.  For the Battery Elements, more projects are in the execution phase and the average project size is increasing and the market momentum remains strong. For TheBattery Mobile, we strengthened our position portfolio by introducing our 4th generation mobile energy storage solution. And all-in-all, we are convinced of the future growth potential of Energy Storage revenue due to the positive market developments, our strong market position and good order book. The Smart Grid Solution revenue grew in 2023 with 32% to €142.6 million for a large part driven by the Dutch grid operator significantly ramping up their investments. These Dutch grid operators continue to expand and reinforce the distribution grid and reflected this in their formal investment plans. And these investments are publicly available. Towards 2050 in the Netherlands alone, around €100 billion of investments are needed to make the grid future proof. The private network business also grew strongly as it was no longer constrained by supply chain restrictions.  For EV Charging Equipment, the revenue in 2023 was €153.1 million which is a 39% decline compared to the €251.8 million in 2022. This drop was mainly due to destocking at our channel partners. In 2023, our channel partners used their inventory they bought in 2022 to supply the end markets. Therefore, they had less need for buying charges and as a consequence, our revenue declined. From Q4 onwards, we saw the destocking come to an end. As you can see, our Q4 results in ’23 showed an increase of 10% compared to the third quarter.  We now continue to Sheet 6 with the overview of our EBITDA developments. The adjusted EBITDA in 2023 amounted up to €57.1 million, which is a decrease of 28.1% compared to the €79.4 million in 2022. The overall EBITDA margin decreased in 2023 as low volumes created deleverage of fixed costs based in our EV charging business line. On a quarterly basis, 2023 shows an improvement trend driven by higher volumes with Smart Grid Solutions and Energy Storage Systems.  On Sheet 7, we summarize the strong 2023 highlights regarding our Sustainability agenda. Global social responsibility is a key focus point of Alfen. We are at the heart of the energy transitioning by enabling generation, distribution and consumption of emission free electricity with our smart grids, EV charging equipment, and energy storage solutions. And our business line directly contributes to sustainable economy and society as proven by the fact that 99% of our revenue is aligned with EU Taxonomy regulations.  In 2023, about 374,000 households can be supplied with renewable energy through to solar farms that were connected to the public grid. For the other elements where our products contribute to sustainable economy, I would like to refer you to our Annual Report where we have included an extensive section on this subject. Furthermore, we have put a strategic action plan into place under the direct supervision of the Management Board to implement a Corporate Sustainability Reporting Directive. In addition, we have also mapped our full scope 3 CO2 emissions and filed our SBTi-targets where we are now waiting for approval. When approved, we will share more information. Michelle will now continue with setting the stage for future growth.
Michelle Lesh : Thanks Marco. Now I'd like to talk through various market developments that will sustain our growth. First, on Slides 9 and 10, we'd like to show what we're seeing in the market across our three business units and again share our view on the EV charging relative to the market. First, let's look at SGS. We have two segments, our grid operators and private networks.  What we are seeing with the grid operators is an estimated CAGR of 21% from 2024 to 2026, as Marco mentioned, based on the draft investment plans that are published and available by the grid operators in Q4 of 2023. And in private networks, we serve many end segments including greenhouses, solar, EV fast charging and here we're showing one of those end markets for EV fast charging where you can see an 11% CAGR from 2022 to 2028.  When we look at EV charging, we see a CAGR of 18% from 2023 to 2027 and in energy storage a CAGR of 58% from 2023 to 2027. Keep in mind that is on a megawatt hour basis. The timelines are varied due to data availability but fundamentally all represent continued market growth for our business.  Next on Slide 10, we want to again share a view we've shared in a previous call and there's a couple of things we'd like to point out. I think first what we see is that Alfen continues to be a leader in the EV charging space amongst listed peers and with destocking over, what you can see is a recovery in revenue starting in Q3 and continuing into Q4. We see our customers ordering again and they are seeing demand from their end markets. We've also been asked many times about our market share position and what we see here gives us confidence that we've not lost share and reaffirms what we've shared in Q3 about future growth. Next on Slide 11, we want to share an internationalisation update. As you can see in 2023, we had 42% of international revenue, down from 51% but this reduction was driven by two things. First, a reduction in EV charging volume where we had the largest percentage of internationalisation, and growth in SDS where we have the most activity in the Netherlands. But even with this reduction of international revenue from EV and strong domestic growth, we still achieved 42% which really shows us that our energy storage business will contribute to our internationalisation goals. And fundamentally, we still have a focus on internationalisation. We continue to grow across Europe with EV charging and energy storage but with our current mix, we do expect to see more domestic revenue.  As we move to Slide 12, we'd like to share a sample of our commercial successes that reinforce our growth story across all three business lines. What you see here is we continue to add new customers but equally important is we are getting wins from existing customers. First, in EV Charging, we continue to build depth with wins in the parking and electrified fleet segments and we saw continued wins in the public segment with ubitricity.  In Smart Grids, we continue to supply to the grid operators and have private network wins in key segments such as wind, solar and microgrids. In Energy Storage, we continue to have wins in both segments, both utility-scale and mobiles and we're seeing repeat wins with customers like Katoen Natie and continued growth in key markets with Vasa Vind.  In addition to these selected wins, as we move to the next slide, we'd like to share some of the investments we continue to make in our solution portfolio to serve the market. In EV charging, we are readying our solutions for the upcoming implementation of AFIR. AFIR is the Alternative Fuels Infrastructure Regulation and is a law that will be in effect in April of this year. This law requires that all new publicly accessible chargers in the EU have payment capabilities. For us, this includes hardware changes on our twins and software enhancements for our portfolio.  We also continue to enable our customer experience with the upcoming release of our Alfen Eve Connect app. In smart grids, we have ongoing work to support our tender win with Stedin and ensuring our stations can support new switch gear that complies with the phasing out of SF6 gas.  In energy storage, we launched our Mobile X which provides more energy density in a 10-foot container and includes a transformer and switch gear to be a complete temporary power solution. We've also built out capabilities to support our customers and their grid compliance requirements.  As we continue to Slide 14, we'd like to share that in addition to the market growth and investment in technology, we also continue to invest in other areas. We've expanded our average FTEs to 942 in 2023, an increase from 787 in 2022. We continue to invest in productivity and operational improvements, including maturing our sales and operations planning process, which includes forecasting, demand planning, inventory control. And we are looking forward to opening our new facility, which as previously shared, will be three times larger than our current largest facility. As previously communicated, this is to support further expansion of our manufacturing, production, and office requirements. And now, I'd like to hand it to Jeroen to walk through our financials.
Jeroen van Rossen: Thank you, Michelle. And let's start with our profit and loss accounts. Our revenue and other income increased from €439.9 million last year to €504.5 million this year, which is driven by continued growth in our smart grid solutions business line and our energy storage systems business line. In the EV charging business line, the revenue declined compared to 2022. But please note that in the fourth quarter of ’23, our revenue increased by 10% compared to the third quarter ’22. Gross margin decreased from 34.9% last year to 30% this year, which was driven by a revenue mix shift from EV charging equipment to energy storage systems.  Personnel costs increased from €53.7 million last year to €68.5 million this year. And the average FTEs increased from 787 in ’22 to 942 in ’23. Other operating costs increased from €21.8 million last year to €26.6 million this year. And as a result, also our EBITDA decreased from €77.9 million in ’22 to €56 million in 2023. And if we exclude one- off cost and special items we arrive at our adjusted EBITDA, that decreased from €79.4 million last year to €57.1 million this year. Finally, our adjusted net profit decreased from €54.4 million last year to €30.7 million this year.  And from the income statement, we now go to the balance sheet on Slide #17. And let me start with the non-current assets. They increased from €58.7 million at the end of ’22 to €81.5 million at the end of ’23. And our capital expenditures amounted to €34.7 million, which was 6.9% of revenues, compared to €21 million which was 4.8% of revenues, last year.  But please note that these capital expenditures includes a one-off purchase of a new building to further facilitate the growth of the energy storage business line, and the impact is €10 million. Furthermore, included in the €34.7 million is an amount of €10.7 million of capitalized development costs, which is demonstrating our continued efforts to invest in innovation for the future.  Then, our working capital, that increased from €87.6 million at the end of ’22 to €128.1 million at the end of 2023. And the increase in our working capital is primarily related to our increased stock levels and strategic stock down payments, for which we will give some more details on the next page.  Finally, our free cash flow was €27.2 million negative over ’23 compared to €24.4 million negative over ’22. But please note that within the first half of ’23, it was €58 million negative, while we generated a positive free cash flow of nearly €31 million in the second half of 2023, as we already predicted in earlier webcasts. On the next slide, we present some more details on the working capital. As said, the increase in working capital primarily related to a deliberate choice to increase our stock levels and put in strategic stock down payments. And please note that within our company, inventory is not finished products, it is about parts and components. As already explained during the Q2 webcast, we expected a declining trend in our inventory levels, which we also clearly see now in the table on the slide.  Furthermore, given the growth perspective within our energy storage business line, in conjunction with a solid backlog for this financial year, we maintained higher stock levels, which are further supported by strategic stock down payments for batteries, inverters, and containers for both TheBattery Elements and our Mobile Storage Solutions. As explained before, this was a one-time step up in 2023.  Lastly, our inventory level for EV charging, those are components and parts, is still beyond normalized levels. So we expect the declining trend to continue in ’24 and thus automatically transferred to our free cash flow.  Finally, Marco will address Slide #19 with the outlook. 
Marco Roeleveld : Thank you, Jeroen. As indicated earlier in this webcast, we expect that the markets for all our business lines will continue to develop positively, driven by the increased momentum in Europe's energy transition to zero carbon dioxide emissions. With the anticipated further growth of our business in ’24, we will further invest in our organization, in our people, in production and innovations. For 2024, we expect that our revenue will be in the ranges of €590 million to €660 million. Furthermore, we expect to improve our 2024 full year adjusted EBITDA margin compared to the 11.3% for the full year of 2023, and we aim to generate a positive cash flow, positive free cash flow. We are now at the end of the presentation. Moderator, can you take over again to open the line for questions? 
Operator: Sure. [Operator Instructions] We will take our first questions from Ruben Devos from Kepler Cheuvreux. Your line is open. Please go ahead.
Ruben Devos: Yes. Good morning. Thanks for letting me on. My first question relates to energy storage. I was wondering whether you could provide a bit more detail on sort of the average project size in energy storage. I think you mentioned that for the first time you delivered a project of 50 megawatts. So, we'd be curious to hear your thoughts on future development and your capabilities to further push the storage energy capacity.  Then one related to this, so I think you had this supply arrangement with CATL. And I think you talked before about sort of the better terms and conditions you managed to secure on energy storage. But I would be interested to hear your updated thoughts on how should we think about the cash flow related to energy storage, and also maybe if you think about scale efficiencies and sort of the purchase you have to make for batteries, whether these new agreements with CATL would have an impact? Thank you. That's the first question. 
Michelle Lesh : Yeah. So, on energy storage, what we've shared is that we do see the project sizes increasing, and we really try to be focused on customers and projects where we can add value. For us right now that we've done a project at 60 megawatt hours, we are seeing projects in that range, but we're also seeing projects that are upwards of 100 megawatt hours. So, as long as we can add value to the project, we will look into bidding and winning it. But for us right now, I'd say the mid-sized projects. For example, there was a project announced in Belgium that was 1.2 gigawatt hours. There are mega projects out there like that, and if it makes sense for us to view it, we will, but for the most part, we're focused on that kind of mid-sized project range for energy storage. So, that 50 megawatt hour to 100 megawatt hour range, for now.  And then I think in regards to the agreement with CATL, what that does for us is we already have strong down payment schedules and such with our customers. Basically, this allows us to have more long-term commitment and make sure that we've got the right pricing and the right ability to kind of match the flow of the purchases of the batteries to the actual projects themselves, so just good agreement for us for the long term.
Jeroen van Rossen : Maybe to answer that specific question to working capital, I think if you look at our Annual Report, you can see that the net balance of work-in-progress is negative. So, we always try to be negative or close to zero. I think the new agreement with CATL, although we agree with them not to disclose the details of it, will give us even more flexibility in monitoring our working capital. So, if I would have to make a statement on if it's a positive or a negative one on working capital, I would say it's a positive one. 
Ruben Devos: Okay, thank you. And then just a second question on the smart grids business. I think you referred to sort of 21% CAGR of the three biggest grid operators in the Netherlands. Obviously, you've got a very strong market position with these three grid operators. Is there any reason to believe that you would not be growing at least this 21% CAGR over this time period, given that you've also had now improving momentum in the private networks business? Thank you.
Marco Roeleveld : Perhaps to bear in mind that I’d say, we can refer to public information because that's for us the most reliable way to express where the growth is. There will always be elements of where we have to debate more or less where in real practice the growth of the grid will be a little bit more or a little bit less than 21% because it is our investment plans. They have to be translated to real projects and in the real project there can always be an impact on say practical elements where it can be a little bit less or more. That means also that we need a little bit more of benefits also. That's the reason also that we have a benefit for the end-of-year projection that of course, yes, we are in a good position and we don't have fundamental doubts on this growth percentage. It can be a little bit more or less based on say practical conditions. It's not so, that we see at this moment fundamental elements we have to add to the market’s development but we are also dependent on if the local grid operators said we want to do an upgrading project in a certain community, there is always an impact of the local community or can be a planning element in it where it can be a little bit less or more related to our revenue in one given period. But in general, I think this is a good representation of our expected revenue development.
Ruben Devos: Okay, thank you. Could you just add a few comments on the private networks business, to what degree that has accelerated in terms of growth and what it represents in the smart grids division overall? 
Michelle Lesh : Yeah, so what we saw last year is with the easing of supply chain we were able to realize more projects with private networks business. It's about a third of our smart grids business and we expect it to still be around a third but we will see more growth coming from the grid operators in future years. 
Ruben Devos: Okay, thank you very much.
Operator: Thank you. We will take our next question from Nikita Lal from Deutsche Bank. Your line is open. Please go ahead. 
Nikita Lal: Yeah, good morning. Thank you for taking my questions. I have actually three and I will go through them one by one. So my first question is actually on the margin guidance. You said that you want to improve your 2024 margin to be better than 2023. Could you elaborate what would be the key drivers and can you specify somehow how high this improvement will be? 
Jeroen van Rossen : Yeah, let's start with that with that question. Although we don't give a specific guidance on it, we are aiming of course always for improving our EBITDA margins. That's always an equation there because it's a combination of, let's say, gradually increasing our gross margins which we feel we should be able to do so in ’24 that is supported by product mix, by ongoing purchasing programs, by our market positioning. So a lot of influences in there and at the same time a major contributor is the operational leverage and I think you see that kicking in, in Q3 and Q4 also. We said it before, sometimes you need to invest in an organization to be able to ramp up, for example, the production for smart grids or to be able to continue the growth in an energy storage system business line but nevertheless we are still focused on operational leverage and we feel that we should be able to drive operational leverage further in this year, ’24 as well. That's the combination which gives us the confidentiality that we will have a higher EBITDA percentage in 2024 than it was in Q23.
Nikita Lal: Okay, thank you for that. My second question would be around order intake in all three segments. Could you maybe just say how the year started for you in the different segments? Do you see solid demand in all three segments? And talking about charging, maybe you can there differentiate between private business and public, please. 
Michelle Lesh: Yeah, sure. All-in-all, order intake across all three business units is developing as expected in the first six weeks of the year. We've seen EV charging continue to recover and customers are placing orders again. We track it on a daily, weekly basis. So we are seeing regular order intake. We are seeing a good mix between both private and public. I think with the upcoming AFIR regulation there is a bit of a, let's see what's happening but we've got orders in backlog already for those units. So we're seeing healthy development there. SGS as well, both with the grid operators continuing to build backlog to support the revenue goal for this year and with our private networks business we've seen order intake. And with energy storage, we've seen awards in negotiations to close contracts but we're seeing good demand in all three business units. 
Nikita Lal: Okay, thanks. And my final question would be around the charging business in the private segment because you stated that your market share did not decline during the destocking phase. Is this also true for the private segment or do you see there are differences? 
Michelle Lesh: So I think what we see is, you saw that on a cumulative basis we don't feel our share has declined. If you look at how our products are used in the market and if you're thinking private in terms of true home, you even have to break that home segment down into standalone units versus what we considered managed homes. So think about a lease car driver who's working with a lease operator who needs access to the data from the charger, he needs to manage the charging for the consumer. We've not seen a decline or loss in share in that segment. We don't necessarily compete in that lowest end home segment. So yes, it's possible that our units were being used in that low segment and maybe not any longer but in the segments where we want to be successful and we want to win, we don't feel that we've lost any share. 
Nikita Lal: Okay, thank you very much.
Operator: Thank you. We will take our next question from Thijs Berkelder from ABN AMRO. Your line is open. Please go ahead. 
Thijs Berkelder: Good morning all. First I already want to thank Jeroen for his years in this enormous roller coaster and I'm happy for Jeroen that he's now able to really deliver free cash flow. Thank you for that.
Jeroen van Rossen: Finally, Thijs.
Thijs Berkelder: Then in terms of questions, you are now clearly saying you aim for improving gross margins in 2024. Let's take that per business segment. In Energy Storage, gross margin second half was up to something like 24% versus 20% in H1. It's 24%, 25% more or less your new normal for 2024 and probably many investors will focus on your growth margins in EV Charging. Well there specifically the second half was showing clearly lower gross margins so also there what do you there then expecting for ’24? And I've further questions but let's first do this one. 
Jeroen van Rossen: Yeah let's start with this one. I think we expressed in gradually increasing the gross margins. We always look at it from a yearly basis because the product mix makes a difference. So what you saw in the second half year for Energy Storage, for example, was a somewhat lower relative portion of large projects. So that then has an impact on the on the gross margin as well and so it's always a bit of a blended rate that you see there. So I think it's better to look at it from, let's say, a year perspective compared to the full year ’24 compared to the full year ’23. But as you know, we always try for optimizing our gross margins anyhow and I think that's the element there.  The second element is in the EV Charging space, there we saw as Michelle explained, also a bit more let's say a relative portion of Eve Single S in the somewhat lower home market for us which has a slightly lower margin compared to for example the Eve Single Pro. So that has had some impact in the second half of ’23 as well as that we see a gradually increase in our service costs because of our installed base there's always a bit of a time lag. But yeah, then of course if the revenue is lower in the second half year than the first half year that has also the some impact on the gross margin. So I think that's the element that you see. It's not something -- that is also something which is the same trend as with the operational leverage. It's not that the service costs grow with the same percentage as the revenue grows, so if the revenue grows then of course that percentage kicks back up again. That is more or less the mechanism but those are the two main elements which drove a somewhat lower margin in EV Charging. Please note that we did not adjust pricing as such to our customers, that's still valid and still intact.
Thijs Berkelder: Okay second question then on the inventories. Can you maybe give a split between Energy Storage and EV Charging?
Jeroen van Rossen: Yeah the precise split, Thijs, we stay a little bit away from that because of also for competitive reasons. But what I can say is that, that specifically in EV Charging, it is still beyond normalised levels. And to give a rough estimate there, we still feel that, let's say around the €30 million is still beyond normalised level. So that should be used in ’24 in our production processes. So it will take some time before that has been of course fully decreased but that is that's more or less the situation and the inventory level in Energy Storage and Smart Grids are relatively stable.
Thijs Berkelder: Yeah. Okay, clear. Then maybe final question, are you not giving a CapEx guidance for 2024? Can you maybe give a bit of clarity on CapEx 2024 and should we expect, let's say, a receipt from the sale of the new facility, the sale and lease back transaction something like that?
Jeroen van Rossen: Yeah well looking at the CapEx, I said, this year if you exclude the €10 million of the purchase, you see, its €24.7 million. So it still contributes to our being an asset live company. What you will see is, also in ’24 we will have some additional CapEx related to the new building but that's more related to warehousing and to forklifts and those kind of stuff. So all-in-all, the overall trends, we feel confident that overall trend will guide to towards a below 5% of revenue. So I think that's the way to think about it going forward. And I think that's the way to look at it. And I forgot the second part of it, Thijs, sorry, of your question.
Thijs Berkelder: The sale and lease back of the --
Jeroen van Rossen: The sale and lease back, yeah, sorry. Yeah, that is a transaction, as explained before, we did it to avoid that we get a lot of high interest costs whereas we can borrow cheaper than the project developer could. So that's more or less a cash neutral transaction. So we borrow from the bank and then we lend it to the project developer, the project developer pays back their loan, we pay back the bank and that's it. And then the lease contract kicks in which gives then a non-cash transaction because that's a right of use asset and a lease liability. That's the mechanism. So it will not influence our cash flow in 2024.
Thijs Berkelder: Okay, clear. Thanks. 
Jeroen van Rossen: You're welcome.
Operator: Thank you, we will take our next questions from Jeremy Kincaid from Van Lanschot Kempen. Please go ahead, sir.
Jeremy Kincaid: Good morning, team. Just to follow up on that last point, so that there's the €25.7 million short-term loan that you receive from the developer and then you take that and repay the bank immediately, is that how I should understand that?
Jeroen van Rossen: Yes.
Jeremy Kincaid: Okay. And within your free cash flow guidance, which is free cash flow positive that doesn't include that €25.7 million at all, is that correct?
Jeroen van Rossen: No, that's correct because the balance of it is zero.
Jeremy Kincaid: Okay, understood. All right, thank you. Could you also just help us understand the energy storage market a little bit more? Obviously there's been some dynamics this year with falling lithium prices but then on the other side of the equation is the balance of the system prices have also gone up. So it's not clear whether end consumers are seeing lower prices for energy storage units or not. Could you talk to that dynamic? And then the other part is just who are these customers that are really starting to drive the growth, maybe if you could talk to what type of businesses they are or maybe the geographies where you're seeing most growth with energy storage?
Michelle Lesh: Yeah, sure. So yes, we do see prices decreasing which I think is a positive for the market. What it means is our customers will be able to better get financing. Their projects are most likely to, the business case will be more positive for them. So all-in-all that that is going to help all of us continue to drive the momentum in energy storage and you do see some system prices but ultimately the batteries are the most -- the largest portion of the pricing of the project. And then what we're seeing from a market perspective is, you're seeing different market mechanisms whether it's balancing markets, kind of ancillary markets you see the Nordics really taking off right now, you see Netherlands, and Belgium -- Belgium especially with the capacity market. When you're able to bid into a capacity market and guarantee a payment just for being available, it certainly helps your business case and that's why you're seeing such large projects in Belgium.  So we are looking across all of Europe for our projects but we're definitely seeing an uptick in the Nordics, Netherlands, and Belgium right now. And mostly our customers are developers, whether they're co-locating like Vasa Vind with a wind farm, co-locating with solar or just finding land, getting a grid connection and developing an energy storage project on its own.
Jeremy Kincaid: Okay fantastic, that's very clear. And then one final one for me, in the press release you made the comment that you're reconfirming the strategy and the medium term targets, I think that was set at the Capital Markets Day. Obviously a lot of things have happened since then. I think a lot of people have rebased their expectations around EV Charging which is obviously one of the higher margin business units. And so just wondering if the 15% to 20% EBITDA target which you stated then is still one of these medium term targets you're reconfirming?
Jeroen van Rossen: Yeah, we reconfirm them all so also the EBITDA target for the period, the time frame ’25 to ’27. So indeed the mid-to-high teens is still there.
Jeremy Kincaid: Great. Very clear, thank you.
Operator: Thank you we will now take our next questions James Carmichael from Berenberg. Your line is open, please go ahead.
James Carmichael : Hi, good morning guys, just a couple of quick ones. Really we're just interested in sort of head count growth. Obviously that was quite sort of strong and I’m just wondering how we should think about that going forward? When does that, sort of when does that growth sort of start to slow?  And secondly just on the increasing the bank guarantees, just wondering sort of why? Why now, as you're sort of moving into positive free cash flow territory? What's the thinking there? Is there something specific that you need that for? Is it just more liquidity headroom?  And then maybe just on ESS or Energy Storage as well, you mentioned, the Nordics, Belgium and the Netherlands. Just wondering if you had a view on the German storage strategy that was published earlier this year and whether that should sort of drive that market?
Jeroen van Rossen: Yeah, let's start with the head count, what you see there is indeed a higher head count in ’23 but that's also to support our growing smart grid business and energy storage business. And that's always you need to invest a little bit upfront because if you want to capture the growth, you need to be, better make sure that you have the people in there as well. So we will we will still grow our organisation in ’24 but we will always balance it with the output levels and with the revenue stream that we see. So I think that's the way to look at that one. And the increase of the bank guarantee facility is to support the further growth of our Energy Storage System business line. It's purely a matter of, that we use down payments with all our customers and then have a bank guarantee in place for a period of time to support those down payments which of course is supporting us in our working capital monitoring. And with that growing business, we thought that it made sense to increase the bank guarantee facility to be able to also for the next years use the same kind of payment milestone rhythm that we use now.
Michelle Lesh: And in regard to the German market, it definitely is an important market for us and we've got pipeline opportunities. It's referring more to just where we've already done a lot of projects in terms of Nordics, Belgium, Netherland but Germany will be a market for us as well.
James Carmichael : Okay, good, thank you.
Operator: Thank you we will now take our next question from Paul de Froment from Bryan, Garnier & Co. Please go ahead.
Paul de Froment : Thank you, good morning everyone. Two questions for me, the first regarding EV charging, what's your visibility on the CPO demand for 2024? That would be my first question.
Michelle Lesh: Yeah so what we see is, we've got frame agreements with some of our utility and some of those types of customers and then what we are seeing is CPOs seeing demand from their end customers but really every end customer is different, every CPO's business model is a little bit different. So we do see demand from our customers but I don't see any specific differences with the CPOs versus our other customer types right now.
Paul de Froment : Okay. And regarding countries, do you see one country on top of the other one regarding superior demand like Germany, for example, or France?
Michelle Lesh: It's not necessarily tied to the customer type in the CPO, it's more tied to what you're seeing from a subsidy perspective. Belgium just announced another subsidy for 2024, supposed to go ’25, ’26. Now it's just ’24. Italy had a subsidy that it didn't now it does, so it really depends on number of EVs in the market and is the demand there and then what are the subsidy schemes and are they in place and then other pending legislation and policy. So as you mentioned AFIR, right that has a lot of people thinking about, okay how do I deploy new infrastructure? Do I wait until after April? Do I order now? Who do I order from? So it really is more of a market issue than it is a specific customer type challenge. 
Paul de Froment : Okay, thank you very much. Second question on the Smart Grid Solution, could it be possible for you to target Southern Europe countries or it would not be profitable for you to target Spain or Italy, for example?
Michelle Lesh: Yeah, I think what you see right now is, we're very strong in Netherlands, Belgium, Finland, Sweden where we have manufacturing capabilities. These are very large stations and especially here in the Netherlands they're concrete. The transport costs are very high and you also see that there's a lot of local players in each of those markets. The grid code requirements vary heavily country to country. So if a customer asks us to take stations outside of our core markets, we do. We have stations in Ireland, we have stations in other parts of Europe but that's really on a one-off, follow your customer. And to go into one of those new markets you need local manufacturing, you need local grid understanding, which we have but then to develop that into a station from an R&D perspective. Yeah, there's high barriers to entry with the existing competitors and we've got a very strong customer base in our core markets, just like we don't see a lot of new entrants into these markets for the very same reasons 
Paul de Froment : Okay. And just one final question to really understand because we know that there are some kind of grid connection bottlenecks for example in Spain or Italy, I think Germany as well and I just was wondering if it's due to the local utility, I mean civil works and so on or due to the lack of substation transformer on the market? What's your view on that?
Michelle Lesh: No, it's -- you see grid connection delays everywhere. So one of the things we do in talking to customers is, are you in the interconnect queue? Do you have a grid connection? These are questions we ask because if you're not already in line and you're not already waiting usually the grid operator needs to review that application. They need to make sure they can put the asset on their network, that they can use that power dispatch it into the grid, and based on the different policies by country. Sometimes the rules and the law don't allow them to add those assets and so even if it is physically possible and the capacity is there with the lines, the law says, you're not allowed to connect in this configuration.  And so what we're seeing is kind of a revamp of the queue so in the UK, they've actually gone through and scrubbed the queue, they've taken out projects that haven't moved forward. But this is country by country specific and it's really driven by the way the grid is designed and the way the policy and law allows new projects to get connected. What we will see is that start to change because the need for energy storage is so high that if they don't make changes in how they get projects online, we're not going to achieve our goals. So we are optimistic that those rules and policies and law will change but that takes time.  And in the meantime, there will continue to be grid connection challenges both from a policy and law and also just there's congestion. You know the grid was not designed for all of this capacity and it needs to be upgraded and redesigned, so all of those things are causing it. But it's not from a supply chain perspective, it's very much from a policy, law, network design perspective.
Paul de Froment : Okay, thank you very much.
Operator: Thank you. We will now take our next questions from David Kesten from Jeffries. Please go ahead, sir. 
David Kerstens : Hi, good morning everybody. I've got two questions, please. First one on your expected growth in EV charging of 15% this year, I think previously we're saying 15% to 20%. Can you break that down into what is the restocking effect after last year's destocking and what is the effect of the slowing overall EV market? That's my first question.
Michelle Lesh: Yeah, so the 15% it's not linked to ongoing destocking issues. I think what we're starting to see is, that the EV registrations are a little bit volatile, a month that’s up, a month that’s down. The lower cost models are not coming onto the road. We still see the demands in public and business but there's just uncertainty and that's why we went with the 15% for now. If things change, we'll obviously adjust that but right now its underlying market conditions but has nothing to do with destocking.
David Kerstens : But after the myth of destocking last year, 15% only seems like a limited week of re-write? And what is the reason for lowering that from 15% to 20% to 15%? Is that just the overall weaker underlying EV market or are you more -- you have a good estimate on the only destocking effect?
Michelle Lesh: No, it's the overall market. I think what we're seeing is the number of EV registrations, I said its volatile, sometimes it's up, sometimes it's down. You're seeing subsidy changes and we just aren't seeing a drastic shift that would support the 20%, so 15% is where we're -- what we've got line of sight to now. 
David Kerstens : Okay, understood, thank you. And then my second question is around the new production facilities and the head office where you expect to move into in the first half of this year, if I understand correctly. To what extent will that impact operational leverage? And would you say that as a result your EBITDA margin improvement will likely be more second half weighted than first half weighted? 
Marco Roeleveld : What we see is that, indeed we are now finalizing the planning therefore say start moving our production in the first half year. So in the coming, what is it, four months and as a consequence that we are planning for also that we can improve our efficiency because instead of having four buildings with components on stock and having manufacturing that we will be able to optimise that process. On the other hand but like normal things after -- directly after the move, you still have more or less to optimise all the processes in order to be able to get all the advantages. So we more or less basically expect that in the say second half year, will we see the first elements of improvement but they will as far as where we can expect now, mainly contribute in 2025. Because our first ambition is to grow our revenue number, to be able to ramp up our production, and then -- of course then to improve or make use of the improved efficiency capabilities and to be having warehousing and production in one building more or less in the course of time.
David Kerstens : But does that mean you will have some double running costs in the first half of the year while you ramp up the production in the new facilities?
Marco Roeleveld : No, not double cost, more or less to say what we already now are producing in two different buildings at the moment and having stock at different locations, it is more or less that we -- we will, in the movement we will -- before we can benefit in it from more or less having everything in one building, it will be in the second half year. And of course, all things, like I said, if you move equipment, you also have some getting used to and also to create more or less the elements of efficiency, then of course we will see some of it in the second half year but the major contribution will be in the years to come. 
Jeroen van Rossen: And maybe to add to that, I think looking at operational leverage, the major contributor to operational leverage is that, that you, with the same number of people you generate more output. And that is a trend which is ongoing which is independent from the new building. The new building of course gives more easier logistical flows as we can close down an external warehouse that we still rent now. But they will contribute also in the second half of the year but the major contributor is the ramp up which is ongoing and is independent of that of that building. The only thing is that towards the future the ramp up will continue and therefore we need a new building to continuously ramp up and make sure that we that we grow our revenue faster than we grow our staffing. That is the mechanism and that mechanism is also valid in the first half of ’24. 
David Kerstens : And you will continue working in one shift right but in a larger building is that correct?
Marco Roeleveld : That's correct. And of course what we will do is what we're doing now that for example a part of staff in logistics will start earlier than say the standard working hours in production, also some parts will work later so that we can more or less have an optimal use of our, eight hours a day of working capacity. But at this moment we have seen that, in optimizing cost related to investments in buildings and infrastructure and of course related to persons. For us the balance is now that this is more say cost effective to have a day production of eight hours. 
David Kerstens : Yeah, understood. Thank you very much.
Operator: Thank you. We will now take our next questions from Thibaut Leneu from KBC Securities. Your line is open, please go ahead. 
Thibaut Leneu : Good morning, everybody. With respect to the Energy Storage System, I was wondering given the strong quote, how the competitive landscape is evolving and what's often competitive edge in this market?
Michelle Lesh : Yeah, so what we're seeing is, I think we've talked about it before, we're very specific in the types of customers we work with. We want to be able to add value and for us that value is really focused on the grid connection and designing the entire system. Everyone can supply batteries but when you have to connect the batteries to the inverters, make the system work and dispatch into the energy grid for its intended purpose, minimizing degradation on the system that system engineering is what we do very well. So especially with developers that don't have the in-house technical resources that a really large company might have, those are the types of customers where we do, we do really well. That also matches the size of projects that we're seeing in Europe.  So we do see many of the major competitors names we're familiar with Fluence, Wärtsilä, Tesla etc. but they're also global players. And so they might have focused on other markets in the world but we do see them here and so that's why again we're specific in the types of customers we work with. We want to make sure that we're adding value and that we're still competitive against those larger players but we are able to win deals with key customers and so it does speak to something we're able to offer. For example we had a customer that made an award to a competitor got through the original kind of design process and realized they weren't comfortable and they came back to Alfen because of our technical offer. And so that just kind of explains, it's that really strong technical expertise and ensuring the system will work and when it's connected to the grid.
Thibaut Leneu : Okay so it's more focused on the grid connections and the all-round solution like you also have now the 4th gen mobile station is, I'm referring like for this specific with respect to like mobile stations, does there the 4th generation have like a specific USB compared to what's out there in the market?
Michelle Lesh : Yeah, yeah. Yeah so what I just shared was utility scale if you think about the mobiles, I think what people don't realize is, this is a true standalone temporary power solution. You've got the battery racks, you've got the switchgear, you've got the transformer, this is basically a massive battery that you can literally plug into the grid. So if you think about festivals, if you think about job sites, you think about the need for temporary peak power at a job site, right? A builder can either go to the grid company and ask for a larger grid connection or they can buffer that peak with one of these mobile energy storage units and we're able to do all of this in a 10-foot container which truly is mobile.  And then one of our customers can even take those mobile units, take them connect them to wind farm, charge them, dispatch and trade into the grid. So it's a really useful asset not only for the temporary power applications but also for other potential applications. And what we see with our competitors is it's not always a full integrated solution in the same footprint and I think that that's what our customers have shared with us when they compare us to others.
Marco Roeleveld : Maybe to highlight one feature, we've seen also in the past years in the experience of the sites where the temporary power solutions are being used. For example, we see in many cases there is a very small grid connection available but it is 16-amps or 32-amps three phase and up to now we have -- that meant almost meant that we could not use that energy because of say the bumps in power surges from the end users and now we have added say devices into our storage device so that we can also use very small inputs and still make use of the available capacity without more is depleting only batteries in a given site. So we more or less are optimizing the design in relationship to the sites where our units are being used so that we can more or less use all available grid capacity without only using battery energy.
Thibaut Leneu : Okay, that's clear. That's all for me.
Operator: Thank you. It appears there are no further questions at this time. I'd like to turn the conference back to Marco Roeleveld for any additional or closing remarks. Please go ahead, sir.
Marco Roeleveld: First, I would like to thank you all for participating in this webcast. And also to add that as has been commented in the webcast, this is the last Alfen quarterly webcast that Jeroen van Rossen has been participating in. At the AGM of the 9th of April, he will formally step down as CFO of Alfen, and in the same AGM the appointment of Boudewijn Tans as CFO of Alfen will be put up for voting. And of course I would on behalf of all people at Alfen, I would like to thank Jeroen for the pleasant cooperation and his contribution to the growth of Alfen in the past eight years. Operator, you can now close down the webcast.
Operator: Thank you for joining today's call, you may now disconnect.